Operator: Good morning, and welcome to the Arch Resources Second Quarter 2023 Earnings Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would like now to turn the conference over to Deck Slone, Senior Vice President of Strategy. Please go ahead.
Deck Slone: Good morning from St. Louis, and thanks for joining us today. Before we begin, let me remind you that certain statements made during this call, including statements relating to our expected future business and financial performance may be considered forward-looking statements according to the Private Securities Litigation Reform Act.  Forward-looking statements, by their nature, address matters that are to different degrees uncertain. These uncertainties, which are described in more detail in the annual and quarterly reports that we file with the SEC may cause our actual future results to be materially different than those expressed in our forward-looking statements. We do not undertake to update our forward-looking statements, whether as a result of new information, future events or otherwise, except as may be required by law.  I’d also like to remind you that you can find a reconciliation of the non-GAAP financial measures that we plan to discuss this morning at the end of our press release, a copy of which we have posted in the Investors section of our website at archrsc.com. Also participating on this morning’s call will be Paul Lang, our CEO; John Drexler, our COO; and Matt Giljum, our CFO. After our formal remarks, we’ll be happy to take questions. With that, I'll now turn the call over to Paul. Paul?
Paul Lang: Thanks, Deck, and good morning, everyone. We appreciate your interest in Arch, and are glad you could join us on the call this morning. I'm pleased to report that the Arch team continued to execute in the high level in its core metallurgical business during Q2, delivering another first quartile cost performance. At the same time, we continue to press ahead with our simple, clear and actionable plan for long-term success and value creation. During the quarter, the Arch team showcased the significant cash generating capability of the company by delivering $130 million in adjusted EBITDA and generating $151 million in discretionary cash flow despite a softer market environment. The team then drove forward with our ongoing efforts to streamline and strengthen our balance sheet, reducing our already modest embedded by an incremental $13 million and maintaining a significant net cash positive position. Finally and perhaps most importantly, the team generated significant value for our shareholders through our robust capital return program, declaring a quarterly dividend of $75.4 million or $3.97 per share payable in September and deploying $73.5 million to repurchase over 623,000 shares or about 3.3% of the fully diluted share count. This last point, the continued generation of significant levels of discretionary cash flow even in a weakened market environment is one of Arch's defining attributes. In fact, in many ways, Arch was built for this type of environment, given our high-quality, low-cost coking coal portfolio, and our ability to maintain healthy margins across the market cycle. Of course, this ability to consistently generate substantial amounts of discretionary cash flow is also the key to our capital return program, which we regard as the centerpiece of our value proposition. Since relaunching capital return program in February of 2022, just 18 months ago, Arch has now returned nearly $1.2 billion to shareholders inclusive of the just announced dividend. Even more, noteworthy, perhaps is the fact that when you include the capital returns from Phase I of this program in 2017 through 2019 period, we've now returned an aggregate of nearly $2 billion to shareholders. That approximates the total market capitalization of the company at present. Importantly, and in addition to paying out more than $640 million in dividends at $34.64 per share since the relaunch last year, we view the capital return program to avoid the dilution of approximately 4.1 million shares. To put it another way, our diluted share count is approximately 18% lower today than it would have been otherwise, absent the share buybacks and the settlement of our convertible securities. And we fully expect this systematic reduction in our diluted share count to continue as we move forward. As indicated, the Board believes the current capital return program, including the relative weighting of dividends versus share buybacks. As you might imagine, the Board factors changes in circumstances including movements in the company's share price into its deliberations and decision-making process and will undoubtedly continue to do so in the future. Let's switch to the coking coal markets, which, as indicated, have softened significantly in recent months. The reason for this softening is relatively straightforward in our view. Global hot metal production continues to be constrained due to a host of macroeconomic concerns and pressures. As evidence of that fact, hot metal production for the world, excluding China, was down 2.8% through May versus the already depressed levels seen in 2022 according to the World Steel Association. Even with this weakness, however, coking coal continues to trade of the seaborne market at prices that still support healthy margins at our low-cost metallurgical operations. Again, this is by design and how the company was built. At present, High-Vol A coal, our principal product is trading at $210 per metric ton of the US East Coast. While demand is weak, the supply side of the coking coal markets remain constructive in our view, due principally the years of underinvestment in both new and existing coking coal capacity. Exports from Australia, the United States and Canada, the principal suppliers of high-quality coking coal to the global seaborne market are down nearly 3 million tons in aggregate year-to-date against last year's already constrained level. Significantly, this drop in seaborne coking coal volume occurred despite generally strong pricing over the course of the past six years. In addition, there is evidence that recent price levels are beginning to exert pressure on marginal cost producers with move that two US metallurgical complexes have closed in recent weeks. Based on this, we believe the current net back pricing is reaching the marginal cost of production and starting to pressure metallurgical coal volumes. In summary, we believe Arch is exceptionally well positioned to generate significant value in the current market environment and equally well positioned to capitalize when the global economy begins to recover and gather steel. In recent quarters, we've expanded and strengthened our world-class coking coal portfolio, increased the global reach of our high-quality coal products, reduced our indebtedness while building and maintaining a net cash positive position, greatly simplified our capital structure and extended our industry-leading ESG practices. We're pressing ahead on all these fronts with the objective of enhancing our position even further. Through these substantial and ongoing efforts, we believe we've laid a strong and durable foundation for the long-term value creation with the capability to generate significant levels of discretionary cash and to return robust amounts of capital to our shareholders in a broad range of market environment. With that, I'll now turn the call over to John Drexler. John?
John Drexler: Thanks, Paul, and good morning, everyone. As Paul just discussed, the Arch team maintained excellent operational momentum in Q2, as highlighted by yet another first quartile coking coal cost performance, along with a stronger-than-anticipated result from our legacy thermal segment. Let's begin with a brief discussion of ongoing progress in our core metallurgical segment. To begin with, in a particular note, Q2 represented Leer South's strongest production quarter to date, as we continue to systematically drive up productivity rates at that world-class asset. We remain confident we will achieve still stronger execution in the quarters ahead. Coking coal sales for the metallurgical segment as a whole totaled $2 million on $6.54 through the first half of the year. Let's turn now to our legacy thermal segment, where the team continued to deliver significant cash flow in excess of capital requirements and did so even while addressing the previously discussed localized geologic challenges at West Elk. During Q2, the thermal operations contributed total segment level EBITDA of $29.2 million, which was substantially higher than initially anticipated. In short, the Powder River Basin operations rose to the occasion, demonstrating excellent cost control and delivering solid margins, which acted to counterbalance to some degree, the near-term challenges at West Elk. On the West Elk front, we remain on pace to transition through the issues noted last quarter and expect to be back to business as usual at West Elk starting in Q4. As indicated, we continue to harvest significant levels of cash from our thermal operations in keeping with our long-term strategy. Since the fourth quarter of 2016, the legacy Thermal segment has now generated a total of over $1.3 billion in adjusted EBITDA, while extending just $154 million in capital. Now, let's spend a few minutes discussing Arch's marketing strategy and execution before I pass the baton to Matt for some additional color on our financial position and results. As Paul noted, coking coal demand has been relatively soft ably despite a degree of resilience in coking coal prices. At present, we have committed more than 80% of our projected coking coal production for the second half of 2023, so our volume exposure is limited. In fact, as indicated, we anticipate a 5% to 10% step-up in coking coal sales volumes in Q3. As for our Thermal segment, we expect to ship approximately 60 million tons from our Powder River Basin operations in 2023, while rolling about 5 million tons of our committed and priced Powder River Basin volumes into 2024. While we would prefer to shift the volumes as planned this year, we are willing to work with our customers in exchange for volume and/or price considerations on future shipments. Finally, let me give you a quick recap of our strong ESG performance year-to-date. In the critically important safety arena, Arch's subsidiary operations achieved an aggregate lost time incident rate of 0.47 and for 200,000 employee hours worked through the first half of 2023. That's nearly five times better than the industry average. At the same time, we maintained our perfect performance in environmental compliance, reaching the midpoint of the year with zero environmental violations and 0 water quality exceedances. In addition, we published our 2023 sustainability report in June, which can be found on our website. This report which I recommend to everyone on this call details our comprehensive efforts across a wide range of ESG metrics and also reports on the 47% reduction in CO2 equivalent emissions we have achieved in our operations since the base year of 2011. Finally, I would like to highlight the fact that the Black Thunder mine was honored by the State of Wyoming with the 2023 Excellence and Mining Reclamation Award during Q2. On behalf of the entire management team, I want to extend my congratulations to the workforce for that significant achievement. Again, we are focused on setting the standard for the industry in the sustainability arena, and this award is emblematic of our success in doing just that. With that, I will now turn the call over to Matt Giljum. Matt?
Matt Giljum: Thanks, John. Good morning, everyone. We are pleased to report another quarter of strong earnings and robust cash flows in the second quarter. Starting with earnings, EBITDA for the quarter totaled $130 million, a result that was lower both sequentially and as compared to last year's second quarter as market prices for both metallurgical and thermal coal weakened significantly over the course of the quarter. In fact, average High-Vol A prices in the second quarter were approximately $75 per ton lower than the first quarter average. More than $200 per ton lower than last year's second quarter. When comparing only to recent quarters, however, it is easy to miss the strength of the earnings, both on a consolidated basis and in our core metallurgical segment. Compared to the quarterly average from 2017 through 2019, a period of fairly strong metallurgical markets, Q2 2023 consolidated EBITDA was approximately 30% higher than the historical average. And in our Metallurgical segment specifically, this quarter's EBITDA was nearly 80% higher than the historical average, showing the impact of Leer South as it advances towards target production levels. Turning to cash flows. Operating cash flow in the second quarter was $197 million. And while that was lower than last year's second quarter, it was an increase of over 56% sequentially. The -- as you recall, cash flows in this year's first quarter were reduced by a substantial increase in working capital. As expected, some of that working capital was converted to cash this quarter, resulting in a benefit of more than $62 million. Capital spending for the quarter totaled just over $46 million, with spending for the first half of the year, now ratable with our annual guidance. Discretionary cash flow for the quarter totaled $151 million and our Board has declared a dividend of 50% of that amount or $3.97 per share. Dividend will be paid on September 15 to stockholders of record on August 31. Regarding the second 50% of discretionary cash flow, as we discussed on last quarter's call, second quarter efforts were focused on share repurchases as we deployed over $73 million to buy back more than 623,000 shares. We ended the quarter with cash and short-term investments of $235 million and total liquidity of $361 million, including availability under our credit facilities.  On the liability side of the balance sheet, we continue to reduce debt and other liabilities. We paid down an additional $13 million of debt during Q2, bringing the total outstanding to less than $138 million at June 30. We also completed nearly $8 million of final reclamation in the quarter with $5 million of that at Black Thunder. And we grew the thermal mine reclamation fund by $1.5 million via interest earnings. Moving on to our capital structure and share count. For the first half of this year, we have reduced our fully diluted count by nearly 1 million shares, including share repurchases and repurchases of convertible bonds, and factoring in shares issued pursuant to warrant exercises. That reduction represents approximately 5% of the year-end 2022 total. Looking forward to the remainder of the year, we expect continued reductions in the diluted share count, as we execute on the capital return program. We currently have nearly 419,000 warrants remaining outstanding and expect those to be exercised over the next several months. While those exercises will increase the basic share count, there should be no impact on the diluted count. Finally, while we have repurchased all of the convertible bonds, the CAP call that we purchased at the time of the bond issuance remains outstanding. The CAP call is not factored into our fully diluted share count or otherwise reflected in our financial statements, but its intrinsic value remains approximately $62 million. Turning now to the remainder of 2023. We have largely maintained our operational and financial guidance in line with last quarter. However, in the Thermal segment, we have reduced our expected sales volumes by 2 million tons to reflect additional carryover into future periods. From a timing perspective, Thermal segment performance will continue to be impacted in the third quarter, as we transition West Elk to the new longwall panel. We continue to expect a full contribution from West Elk in Q4. Looking at cash flows. I wanted to point out several items that will impact discretionary cash flow over the remainder of the year. First, we expect the working capital benefit in the back half of the year as we continue to unwind some of the build that occurred in the first quarter. While working capital levels will be largely influenced by the direction of metallurgical prices, we would expect to benefit across Q3 and Q4, assuming current prices hold to be generally in line in aggregate with the benefit that we experienced in the second quarter. Next, as part of our ongoing efforts to reduce liabilities and streamline the balance sheet, we will be terminating our cash balance pension plan later this year. Plan is very well funded, but we anticipate a final contribution of up to $10 million that will be made in the third quarter. Finally, we currently expect capital spending in Q3 to be the highest quarterly spend for the year, with a significant step down in the fourth quarter. With that, we are ready to take questions. Operator, I will turn the call back over to you.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Lucas Pipes of B. Riley Securities. Please go ahead.
Lucas Pipes: Good morning, everyone. Thanks, operator. My first question is on the cost side. So my quick back of the envelope for the met segment is 86 53 year-to-date midpoint of the guidance at $84 million would suggest a very nice step down in the second half of the year. And I wondered, if you could maybe speak to that and the level of confidence and are you targeting the midpoint? Or is there maybe a little bit of optimism baked into that? I would appreciate your thoughts on that.
John Drexler: Hi Lucas, this is John Drexler. Yes, I guess on the met side, on the net cost, for year-to-date, we're at that $86-plus a ton range. As we sit here and we look at the remainder of the year, we've kept guidance the same. We expect to see improvement in our volumes as we work through the back half of the year, and we're comfortable that we're going to be in a position to achieve our guidance. I can't get specific to say we're targeting the exact midpoint of the range, anything like that. This is mining. There can be variability, obviously, as we've seen in this quarter. Some of the influence of this quarter was impacted by higher shipments from our continuous miner operations. Obviously, they have a higher cost structure. That all comes down to just timing of shipments, timing of vessels within a quarter, et cetera, so that did have some influence. But as we sit here for the remainder of the year, we feel good about the cost guidance that we have out there and what we're pushing towards operationally for the remainder of the year.
Lucas Pipes: Thank you very much, John. That's helpful. I want to stay on the met segment for the second question. Again, kind of anchoring the question around the midpoint of guidance at $9.3 million tons and you have 8.1 million tons committed. And I wanted to get a sense for what the appetite is in the market for spot front. I assume, that delta between 9.3% and 8.1% would go into the spot market maybe that's the wrong assumption. But what's the appetite out there? And what sort of pricing would you expect to achieve on those uncommitted times? Thank you very much.
John Drexler: Yeah, Lucas, good question. As we sit here today, we're very confident and comfortable with our met book and the remaining exposure that we have out there. The sales team has done a great job in managing the portfolio, as we've seen a weakening and softening in prices. Given our suite of products, the qualities that we offer into the marketplace and the customers that we've built and got comfortable with our production, as we sit here today, we'll continue to manage and are comfortable with the guidance that we have out there for shipments. Obviously, it will continue to be influenced by the market. But as we sit here today, we're comfortable that the team will continue to operate and execute and achieve those levels of sales.
Lucas Pipes: Very helpful. Thank you, John. And then, I'll squeeze one last one in. It's a question I get fairly often from investors. When I look at the asset side of your balance sheet, fund for asset retirement obligations, $139 million. And then, when I look at the liability side, ARO obligations $235 million. So I wondered if you could comment on that discrepancy, what -- that said in the PRB? And if so, are there additional contributions planned for the asset side? How should we think about that? Thank you very much for your additional color on this.
Matt Giljum: Yeah. Lucas, this is Matt. The funding that you see on the asset side of the balance sheet, that's primarily directed for Black Thunder and the long-term obligations there. Obviously, that's the lion's share of what's on the balance sheet in terms of the liability. But specifically, we're funding toward that long-term obligation and that has to do with a variety of factors. One, obviously, because it's the largest and because a lot of that work will be spent after that mine is no longer generating significant cash flows. And we're trying to make sure that we're well protected for that and given uncertainties around the long-term life of coal plants in the U.S. and we want to make sure that we have enough funding to be able to make the right decisions with that. Regarding the reclamation for the other mines, obviously, that will be something that we do on an ongoing basis, and we've continued to do and expect that, those aren't things that we're going to have to pre-fund to a large degree. Although, as you get closer to the end of the mine life, that certainly could change. But that's really the funding is basically for Black Thunder. John?
John Drexler: Yeah. Lucas, in addition, I mean, obviously, as we've demonstrated quarter-after-quarter, year-after-year, we're very focused on maintaining in a small footprint and managing those liabilities aggressively. And I think it's emblematic as we indicated with Black Thunder winning the reclamation award that it did from the State of Wyoming. It's just a tremendous focus of our team along environmental stewardship along our ESG principles, and we'll continue to manage all of that aggressively as we move forward.
Matt Giljum: The last thing I'd mention is that with the interest rate environment that we have today, obviously, much more favorable than when we put the funds in place we would expect that the interest earnings on that fund are going to do most of the work in terms of growing that to the ultimate level that we need. And we probably, as we forecast it today, need something less than $20 million of contributions from cash flow to be made sometime over the next handful of years in order to make sure that we've got a fund that matches the liability when it ultimately needs to be paid out.
Paul Lang : I think the last color, I'd give you is that as you look back the last couple of years, the concern really was the liability of Black Thunder. And that's what the reclamation from has really set out to address. If you think about the other mines that make up the rest of that difference, those are all 20-plus years out. And there just isn't a concern or a clamoring to do anything right now about those liabilities. So I think we feel good about where we're at. I think the Black Thunder fund is really to see the concerns, so I think what we've done is put it in a very good place.
Lucas Pipes: Very, very helpful. So really like it not matter if I understood this right, tens of millions of dollars over the next couple of years. So like it'd be an incremental $5 million of cash outflow per year. Is that a reasonable ballpark? Or would you comment on that?
Matt Giljum: Yes. I would say that, that is reasonable, Lucas. The only thing I would say is if we happen to have periods where pricing is very strong, and we have windfalls like we had last year. We showed last year, we're not afraid to take care of that when times are good. And so if there were periods where cash flows were maybe a lot stronger than what we see today, we could try to move more aggressively to just put that behind us that given where we stand today, we think something more modest and incremental over the next few years makes sense.
Lucas Pipes: Very helpful. I appreciate the comments and answers and continued best of luck. Thank you.
Paul Lang : Thank you Lucas.
Operator: Our next question comes from Nathan Martin of the Benchmark Company. Please go ahead.
Nathan Martin: Hey, good morning guys. Thanks for taking my questions.
Matt Giljum : Hi, Nate.
Paul Lang : Hey, Nate, how are you?
Nathan Martin: I’m doing great. Thanks. Matt, can I just start with you, I think, a clarification point on your working capital return comments I think you said 3Q, 4Q should be equal and kind of in balance with the aggregate for the second quarter return. But second quarter return is about $62 million. Are you saying around $30 million each then to be returned in 3Q and 4Q is the way you see it today?
Matt Giljum : Hey, Nate, I would say we're certainly expecting around that $60 million to $65 million over the course of the back half of the year. I would caution that, that may end up sliding more into Q4, just the way the vessel timing shapes up here in Q3. It does look like we may end up with shipments weighted toward the back half of the quarter, which could to push some of that benefit more into Q4. The way I'm looking at it today is probably more, call it, one-third in the third quarter with the remainder in Q4. But obviously, changes in both pricing and vessel timing could have a big impact on that.
Nathan Martin: Got it. That makes sense. But just to confirm, it's kind of an aggregate of that $60 million to $65 million is what you would see in the back half.
Matt Giljum : That's correct.
Nathan Martin: Okay. Got it. Perfect. And then maybe shifting over to the met side of the business. John, maybe for you. Any thoughts on where you are in driving the cost at Leer South down to kind of the expected levels post ramp?
John Drexler: Yes, Nate, we've continued to see ongoing improvement at Leer South in productivity and managing the cost, culminating here in achieving the highest quarterly volumes that Leer South has had since the longwall has started up. So, the team is very focused on continuing those efforts. Clearly, we're expecting an improvement in shipment levels in the back half of the year that would align with ongoing improvements across the entirety of the portfolio, that portfolio, including Leer South. So Leer South starting to find their room and really move things along and proud of them for the efforts that they've had in taking that forward.
Nathan Martin: And John, while I have you, would you kind of expect at least the way you see shipping schedules currently, would you kind of expect to shift back more towards a normal mix of longwall coal versus CN coal into the back of the half of the year?
John Drexler: Yes. As we play out the entirety of the year, Nate, I would absolutely agree with that statement that we would expect just the typical back half of the year split between the various qualities of coal that we have.
Nathan Martin: Okay. Great. And then maybe -- you guys also mentioned the High-Vol A spot price is about $210 a metric ton today. Could you just maybe walk us through the math to get to an indicative netback there? What kind of rail and port fees should we assume kind of at that price that would be very helpful?
Deck Slone: Yes. Nate, so sorry. So yes, at that $210 level, the way you would think about that is that's a metric ton delivered in the vessel, and that's the US East Coast assessment. So $210, that takes you down, call it, $20 for the easy math to $190. Look, our rail rate has been sort of capped out, and it was capped out again in Q2 at around $60. And the reason that is the rail rate is -- and the way the contracts work is dictated by pricing that prevailed in Q1. And as you recall, in Q1, the average High-Vol A price was $307. So at that level, we sort of capped out at the rail rate that was with us again in Q2, because we're effectively one quarter in arrear was actually beneficial to us in Q3 and going forward given that prices have come down. Now the counterbalances, the prices have come down. So we get lower prices, but we'll have less -- we'll have a lower rail rate. So that's useful. But if you take that -- if you go to the $210 to the $190 million and then you say at $60, that puts you at the roughly $130 level is kind of where that puts you in quite frankly, if you run the math, that's kind of where we ended up for the quarter. It's -- the step down from Q1 to Q2 was relatively predictable. And then again, we should get some benefit in Q3.
Nathan Martin: Okay. Deck, that's very helpful. And then my -- kind of back of the envelope math for incremental net tons that you guys price is in roughly the high-130s. So I think that makes sense, and I appreciate that.
Deck Slone: Remember, really, we -- there's not much you can read into what we price simply because almost everything you saw that rolled into the sort of -- from the committed but unpriced column in the seaborne market was really just what we shipped. So, for the most part, the seaborne market, our seaborne volumes are going to be driven by what the price is in Q3 and Q4 as opposed to any sort of fixing of price, because it happens in sort of a real-time basis and very pro. So, what you saw with the change was really just tons that were committed but unpriced became fixed price in the most real sense of the world, they shipped.
Nathan Martin: Okay. Got it. Appreciate that Deck. And then maybe just one more to kind of slip in on the thermal side you guys had called out last quarter potentially 5% of PRB volumes getting deferred into 2024. You put a finer point on that, Visco around 5 million tons PRB tons looks like they'll be deferred into 2024. Do you feel like you've fully incorporated kind of the expected deferrals at this point, at least the way you guys see the market? Thanks.
Paul Lang: Yeah, Dave, as we look at the market today, just given the soft thermal market, the price of gas, kind of where we see things, stockpiles, et cetera, we're really comfortable kind of with the strategy that we have in place where if we see customers that have an issue that we have conversations with, if they're willing to work with us, we'll consider rolling tons over -- but clearly, we want to make sure we're preserving the value or optimizing the value of that opportunity, either through additional volumes or additional price in that 5 million ton range we've given where we see things now is kind of what we expect between now and the end of the year. I will say, as we sit here today, the team has done a great job of building out future years volumes in the book and at pricing that's very attractive. So we feel real good at how this year is playing out, how we're managing it and then how that's going to roll and play into future years as well.
Deck Slone: And May, just to expand on that. I mean, really, that's how we built out the book that we've built out is through opportunities like this. So we don't view this as a negative. We're happy to work with our customers as long as we get additional and incremental value, and that's how we've built out the out years. And so while $60 million is where we think we'll shake out and we'd like to ship 60 million tons. As long as the opportunity creates more value for shareholders longer term, we're willing to have those conversations. And so we don't view it as a negative. And quite frankly, again, as you look to next year, we're starting to have a really quite solid position for another significant contribution from the Thermal segment that's already baked in. So we feel good about it.
Nathan Martin: Deck, any way you want to put a number on how many tons you have committed on the thermal side for next year yet?
Deck Slone: All I would say is that, look, if we're going to ship 60 million ton this year, whether we can get to 60 million tons for next year is to be determined, but again, we are in a position where that's not unachievable. So I think that tells you that even in a market that's declining, we continue to have a very substantial book even for 2024 and look, a good start on 2025 as well. So in fact, a really a really solid position for 2025 as well. So feeling really good about the visibility there and then obviously, as you get into the out years, we'll see where the market goes, and we're ready to be nimble and react to whatever the demand picture, in fact, proves to be.
Nathan Martin: Great. Very helpful guys. I'll leave it there. I appreciate the time and the best of luck in the second half.
Deck Slone: Thank you for sharing, Nathan.
Operator: Our next question comes from Katja Jancic of BMO Capital Markets. Please go ahead.
Katja Jancic: Hi. Thank you for taking my question. First, I think last quarter, the expectation was for West Elk to improve in 3Q and then reach a more normalized level in fourth quarter. Is that still true?
Deck Slone: Yes, Katja, I think as we sit here today, the -- what we're doing at West Elk and the challenges we've encountered, what we represented last quarter and as we're communicating this quarter, I think we continue to feel real good and we are on plan. with -- as we developed our plans to manage through the issue. I can report, we indicated that we're going to be moving a long wall from a panel that was creating the challenges that we had to an area of the reserve that was going to be higher quality, where we wouldn't have the types of challenges that we've had. The team has done a great job, and I can report that we're actually beginning the process of that longwall move in the next couple of days. That sets in play kind of that process to get and get ramped up in that next panel, once again, where we expect better conditions. So as we've indicated, Q2, Q3 would be meaningfully impacted by the issues and the challenges, but back to more normal conditions and expectations of normal operations in Q4.
A – Deck Slone: And Katja, it's Deck. I would just say, look, we did talk about maybe a step change in the right direction in Q3. But we're just going to grind through these two panels. And Q3 probably doesn't look that different from Q2. When you think about the thermal segment as a whole, and we'll see where that all shakes out. But the key piece here is at over 15 years of West Elk operating at a very high level. We've had these two quarters, we kind of have to gut it out through because of this surprise with the quality in this mudstone. And so look, I wouldn't expect any significant change, another modest contribution in Q3 from the thermal segment. And then Q4, we should be back on our horse.
 : Okay. And then Paul, I think in your prepared remarks, you briefly mentioned the relative weighting of dividends versus share buybacks, are you potentially thinking of shifting that weighting from 50-50
Paul Lang: Katja, as we offer the best curve, I think, has really gone well and kind of fulfillment of the commitment to both the Board and management made the shareholders following development Leer South during COVID, which we had to do a lot of creative things to get by. And I think it's worth repeating that since relaunching the program 18 months ago, just 18 months, we've returned nearly $1.2 billion shareholder, including the just -- dividend. In addition to that, we cut the share count balance to 18% and you keep that in the context at the same time when we return all that cash to our shareholders. We reduced our debt by 80% to a debt cash positive position. We prefunded the mine reclamation liability and we greatly enhance liquidity. And as you point out and as our shareholders should expect capital return program is discussed at every meeting by the Board. And we clearly challenge ourselves in circumstances have changed as well as what is the best and most value-driving use of our discretionary capital. If you remember that Phase 1 of our capital return program in the 2017 through 2019 time period, we've had a really heavy emphasis on buybacks, and we repurchased about 40% of the shares outstanding over a two-year period. So I think as you can tell from that, we're clearly comfortable with the different allocation for program [ph]. Standing here today, we've now returned about $2 billion to shareholders through both phases of the program, which I think is an amazing accomplishment given that approximates really our market cap today. I think it also underscores why Arch is such good value. So I guess getting around the – the absolute file is that with all that background and color. I think the message here is that the Board has committed to the capital return program. But we still expect buybacks and dividends to play a significant role in any allocation going forward. However, by that same token, we could envision a scenario in which the Board would logically adjust the relative weighting of those two components. The circumstances change and our shareholder preference has evolved. As I've said many times in the past, relative to the allocation model, there is no perfect solution for all of all our shareholders that works 100% of the time. Hence, I think we'll talk about it quarterly. We need to be deliberate. We'll review it continuously. And if it makes sense, I think, the Board will react appropriately.
Q –: Perfect. Thank you so much.
Paul Lang: Thank you, [Indiscernible]
Operator: The next question comes from Alex Hacking from Citi. Please go ahead. 
Alex Hacking: Yes. Good morning, everyone. So you mentioned – 
Paul Lang: Hi, Alex.
Alex Hacking: Hi, everyone. So you mentioned that Leer South had a record quarter. What is the cadence for the rest of the ramp-up look like there? Thanks.
Paul Lang: Alex, I think, you know, as we sit here today, I can't get specific into that expected cadence. It's obviously influenced by longwall moves, just ongoing ramp, et cetera. So once again, I think, we just expect ongoing improvement as we move forward. And we'll continue to drive that way for the met segment as we go forward.
Alex Hacking: Okay. Thanks. And then I don't know if you disclosed this, but how much how much coal have you sold into Asia in the first half of the year?
Paul Lang: So Alex, what we typically do is we generally talk about the splits of our sales volumes for the guidance that we provide. It's about 20% stays into the North American market and the domestic volumes there. About 80% goes into the seaborne market. And as a general rule of thumb, what we've seen is an ongoing significantly increased amount going into Asia. And right now, that's probably at around 50-50 of that export volume that's going into Asia as opposed to Europe or South America.
Deck Slone: And Alex, really, we've focused -- it's Deck. We focus a huge amount of attention on building out that Asian presence and helping the Asian market understand the unique qualities that we have with our high-volume products. And I know I've talked about it. We've all talked about it a lot. The fact is that our HBA product from Leer and Leer South is such a great fit for the Asian market because they're looking to blend a lot of disparate products and the nature of Leer and Leer South is that it really promotes excellent bonding between -- particle bonding so that you end up with a much better and more homogeneous coke at the back end of the coke oven when you're using our products because they're plastics qualities and all the things we've discussed. So that's a huge focus for us. And I would add, look, we also understand that's where the market is going to be, right? That's where the growth is going to be -- when you look at what Wood Mackenzie is projecting in terms of growth in blast furnace capacity in Asia. When you look at where coking coal consumption is likely to go as a result of that increase in blast on capacity, we're seeing about an 80 million ton increase between now and 2030 an Asian demand for coking coal. So that's where the market is going to be. And that's a huge focus for us. And the team has done an amazing job, I think, of educating that Asian marketplace about the qualities of our coals and why there's such -- they can be such a great fit in the blend.
Paul Lang: Alex, it wasn't all that long ago that we had minimal amounts of volumes going into the Asian markets and to -- for the team to achieve what they've done, secure the customers that they've been able to secure to grow the consumption of our coal there 50-50 split of our exports is a real estimate once again to the entirety of the portfolio and the work they're doing, as Deck indicated for an area that's going to be very important for us as we go forward.
Paul Lang: So Alex, if we had to say, I mean it's going to be systematic, but as John said, of our total volumes, we would expect 40% or so going to the Asian market. Is that 45% next year, 50% the year after who knows, but it's going to be that sort of systematic increase in all likelihood. And quite frankly, that's where those incremental volumes go as Leer South continues to operate at higher and higher productivity levels, those volumes are going to go in all likelihood into the Asian market. So again, we feel good about where that is all trending.
: : Okay. Thanks. I appreciate the color. That's kind of where I was going tracked that acceptance. And then I guess, just finally, on the domestic side, not to sort of the cat amongst the pigeons but a large US blast steelmaker on their conference call, suggested that they were looking for a significant cut in the thermal coal price for next year. I guess, how do you think about as you head into next year kind of a trade-off between domestic market and seaborne market and how much flexibility do you have to put incremental tons into the seaborne market if you -- if that seems like the best economic option for you? Thanks.
Paul Lang: Hey, Alex, this is Paul. I'll start this off, if you others want to weigh in. But I go back to where we left off on the other answer, which is you back up not that long ago to 7, 8 years ago. We were 50% North American and roughly 50% Europe and South America. And as time has evolved, we clearly pushed our volumes heavier into Asia with a lot less reliance on the US and Europe. And I've said this many times in the past, if we ultimately have to, we're ready to go 100% export. And the North American business has some advantages. It's FOB buying generally has a lot less working capital implications, but there is a cost to keep it in North America -- or excuse me, if there's a discount keeping in North America versus what we view the seaborne market. we're quite willing to go in and see more market and just sell on an index basis, rather lock in a lot of volume in North American business.
: : Okay. Thanks, Paul and everyone. I appreciate the color.
Paul Lang: Thanks, Alex.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to CEO, Paul Lang for any closing remarks.
Paul Lang: I want to thank you again for your interest in ours. While the global coking coal market has entered a soft patch, I want to reiterate once again that Arch was built for just such conditions. Indeed, we see the current market weakness as an opportunity to differentiate ourselves even further by highlighting our low-cost position and demonstrating that we can drive and continue to generate substantial amounts of free cash flow across a broad spectrum of the coal market cycle. With that, operator, we'll conclude the call, and we look forward to reporting to the group in late October. Stay safe and healthy, everyone.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.